Operator: Welcome to the Corporate Office Properties Trust Fourth Quarter and Full Year 2020 Earnings Conference Call. As a reminder, today’s call is being recorded. At this time, I will turn the call over to Stephanie Krewson-Kelly, Corporate Office Properties Trust’s Vice President of Investor Relations. Ms. Krewson-Kelly, please go ahead.
Stephanie Krewson-Kelly: Thank you, Carmen. Good afternoon and welcome to COPT’s conference call to discuss fourth quarter and full year 2020 results as well as our guidance for 2021. With me today are Steve Budorick, President and CEO; Todd Hartman, Executive Vice President and COO; and Anthony Mifsud, EVP and CFO.
Steve Budorick: Good afternoon and thank you for joining us. 2020 was challenging but strong year for our company. We drive nearly 90% of our rents from the locations that support the defense activities of the United States government and its contractors engaged in national security defense information technology, cybersecurity activities among others. These missions are not correlated with the general economy and the work executed in these buildings never shuts done. Our strategy of concentrating buildings are on US defense installations executing priority missions is unique among REITs. Our performance during the economic uncertainty of 2020 and our outlook for this year demonstrates the strength of our unique investment strategy. From a leasing perspective our ability to execute development leasing last year was unimpeded. In contrast our vacancy leasing volumes were significantly reduced in the second quarters and third quarters as a result of the strict shutdown restrictions. In terms of operations our rent collections remained very high due to the exceptional credit of our tenants. In total we collected 99.7% of gross rents between April and year-end. We made the combinations through retail and amenity tenants to help them bridge the financial gap caused by the shutdowns. In aggregate these reserves and concessions represented 1% of our annualized rental revenue, including $1.8 million of reserves against straight-line rents. Beyond rent and the combinations, our parking revenues were $2.6 million lower than our original plan. Although these amounts were largely offset by operating expense savings. Our operations absorbed $4.6 million of pandemic related impacts during the year. Notwithstanding these impacts we met or exceeded expectations on multiple fronts. Our initial guidance for FFO per share is adjusted for comparability at a midpoint of $2.08. When the shutdowns began we were at the midpoint by a $0.01 to $2.07 to create capacity to absorb unanticipated events. By the time we held our third quarter call we had absorbed the impacts from the COVID shutdowns and had good visibility on the remainder of the year.
Todd Hartman: Thank you, Steve. At the end of 2020, our core portfolio was 94.3% occupied and 95% leased representing gains of 120 basis points and 40 basis points respectively. These year-over-year gains were led by strong increases at the National Business Park and in our NoVA Defense IT and Navy subsegments. Additionally, our Huntsville operating portfolio nearly doubled during 2020 to $1.5 million fully occupied square feet. During 2020 we achieved a very strong 81% renewal rate. Leasing CapEx and renewals remained among the lowest in the office sector, averaging only $2.03 per foot per year of term. Cash rents rolled down an average of 2.1% with annual escalations averaging 2.4% both in line with expectations. First year cash on expiring leases relative to first year cash of the renewed lease compounded at 2.5% annually, demonstrating the internal growth embedded in our lease structures. We renewed six large office leases totaling 775,000 square feet including early renewals of four large office leases scheduled to expire in 2021. On slide 13 of our presentation, the two large 2021 expirations totaling 250,000 square feet are government leases that will be renewed shortly. As slide 11 shows our quarterly vacancy leasing achievements started out the year with a healthy 143,000 square feet in the first quarter and was suppressed for two quarters and recovered in the fourth quarter to 142,000 square feet. Although 2020 vacancy leasing volume totaled 416,000 or roughly 75% of our five-year average volume, it was still 40% below our original 2020 plan. The million square feet of development leasing achieved during the year included five fully leased build-to-suit projects for defense contractors totaling 680,000 at four of our six defense IT subsegments; one at the National Business Park, one at Redstone Gateway, one in San Antonio and two data center shell build-to-suits in Northern Virginia. During the year we also completed 238,000 square feet of development leasing with the US government including 210,000 square feet and 100 secured gateway in Huntsville which is now fully leased and occupied and an 18,000 square foot lease a new development in the Pax River portion of our Navy group. Regarding our leasing outlook for 2021 we entered the year with solid momentum for new developments and recovering demand for operating properties. In our operating portfolio we have sound prospects for current availability and our activity ratio is 75%. For example in Columbia Gateway we have six concentrations of vacancy representing 240,000 square feet. We're working with 22 prospects totaling 230,000 square feet or 96% of the available space. Although, one of these prospects requires occupancy in 2021. With 80,000 square feet of availability 6721 Gate -- Columbia Gateway represents our largest block of vacant space in the park.
Anthony Mifsud: Thanks, Scott. Fourth quarter and full-year FFO per share as adjusted for comparability of $0.56 and $2.12 exceeded the high ends of our elevated guidance by $0.02. Fourth quarter results benefited from higher revenues at DC-6 and gains on the sale of an alternative investment. Property operations were solid, lower free rent concessions and operating efficiencies, net of the COVID impacts drove a 1.6% increase in same property cash NOI for the year and same property occupancy ended the year at 92.1%. During the fourth quarter, we formed a new joint venture with Blackstone. In two transactions, we raised $165 million of equity ending the year with debt-to-adjusted EBITDA ratio of 6.2 times. We achieved strong pricing on both transactions demonstrating the value we create through development. Our 2021 plan is summarized on slides 25 and 26 of our presentation and continues to be straightforward and low risk in nature. NOI from development placed into service is the main driver of this year's growth. We placed a record 1.8 million square feet into service last year, two-thirds of which occurred in the second half of this -- of the year. The incremental revenues plus those properties we expect to place into service this year should contribute between $21 million and $23 million of cash NOI. At the midpoint 99% of this NOI is contractual. We plan to invest between $275 million and $300 million in development and have no acquisitions planned. We will continue to prudently fund our development investment and expect to sell additional joint venture interests and data center shells to maintain existing leverage levels. Based on our current portfolio of wholly owned data shells plus the 200 development, we can monetize approximately $650 million of equity value from this sub segment to fund future requirements. Lastly we forecast the same property occupancy pool end of the year between 90% and 92% occupied which is -- which is impacted by the deferred vacancy leasing in 2020 by approximately 2%. Based on these occupancy levels and assuming normal expense levels we forecast same property cash NOI will be flat to down 2% for the year. Same property cash. NOI is impacted by the reduction in 2020 vacancy leasing as well by approximately 1.5% to 3%. Additionally we have built in some capacity for possible early renewal and contraction activity in some of our nondefense tenants which impacts our outlook for both same properties statistics. Based on these assumptions we are establishing a range of FFO per share of $2.16 to $2.22. The midpoint of which is a $0.01 higher than the midpoint implied by the gross guideposts we provided in October.
Steve Budorick: Thank you. Our strategy is built on three fundamental pillars invest in assets with durable demand characteristics that are for protection from broader economic cycles. Create value for shareholders by managing our portfolio to high occupancies and low recurring capital expenditures and developing new assets because well-below their market value and maintain a strong and durable balance sheet with flexibility to respond to disruptions in the capital markets and to seize opportunities quickly. For the last five years, we've implemented this strategy with great discipline, allocating our capital investments as follows; targeting markets and properties that support essential US Government Defense missions such as signals and human intelligence, missile defense, space exploration, law enforcement, cyber activity and hyperscale cloud computing; investing in advantage land positions best located to serve the priority defense missions we target and executing more risk value creating new developments. Our performance in 2020 and our high visibility into 2021 demonstrate the high level of durability in our cash flows. Investor appetite for our data shells has demonstrated the impressive value creation our developments provide to our shareholders. Our bond offering during 2020 illustrated that the debt market recognized and rewarded us for the resilience of our portfolio and franchise, achieving the most attractive debt structure in our history. Over the past nine years, we've completed approximately 10 million square feet of development leasing, averaging 1.1 million square feet per year. During the past three years, we've executed 4.3 million square feet of development leasing and averaging over 1.4 million square feet per year. We completed our strategic asset reallocation plan in 2018 and since that time, our new developments in durable operating portfolio produce growth in our FFO per share as adjusted. So in conclusion COPT has entered an era of growth driven by durable operating portfolio a strong balance sheet and a reliable low risk development program that is producing incremental NOI annually. We look forward to seizing the impressive opportunity before us in 2021. And with that operator please open up the call for questions.
Operator: Our first question is from Manny Korchman with Citi. Your question please.
Manny Korchman: Hey everyone. Anthony just looking at your guidance for DC-6, can you tell us what timing and rent roll down assumptions are based into the NOI range that you provided there?
Steve Budorick: Sure. So the range assumes that we have the current rent the tenant is paying for the first quarter and that the renewal is executed at the beginning of the second quarter at which point the rent roll downs rolls down between 10% and 15%.
Manny Korchman: Great. And then maybe this is looking too far forward but I'll ask anyway you've now presented your large maturities coming up in 2022 with retention ratios that are obviously lower than what you had last year at least for the commercial users and how are those discussions with those corporate users going if at all?
Steve Budorick: So with both of those customers we’ve had fairly advanced negotiations to extend and contract before the pandemic shutdowns occurred. And since that time the active discussions have been told. We expect them to heat up this year and since we're negotiating contraction before the pandemic we continue to expect them to contract and they're both in Downtown, Baltimore.
Manny Korchman: And then one last quick one from me Anthony you mentioned some alternative investment sales  gains in 4Q. What else is on the books that we might expect to drive gains or losses in the future?
Anthony Mifsud: So we have a pretty limited amount of those investments left. It's about $3 million to $3.5 million remaining. So they're in a fund that the company invested in and they manage the liquidation of that fund. So the timing of that is very difficult to predict. So it sort of comes and goes as the fund is sold off.
Steve Budorick: The fund is a private equity fund that creates, brings new defense technology to market with startup companies. And we invest in it to create opportunities to be the landlord for those tenants that they successfully create.
Manny Korchman: Thank you.
Operator: Thank you. Our next question comes from Craig Mailman with KeyBanc Capital Markets. Your question please.
Craig Mailman: Hi everyone. I'm just curious it sounds like vacancy leasing could be picking up a little bit here. I'm just curious you know what you guys think was a trigger for that? Is it just the ability to actually tour space or you know if the vaccine is or people kind of feeling a little bit better about making long-term decisions? And also just curious anything you guys are seeing discernibly unlike different types of space usage or floor plan layouts as you know we get to the hopefully at the back end of the pandemic?
Steve Budorick: So, I'll take that in layers. Certainly, during the second and third quarter, there was very little   activity, which you know creates kind of a void in the natural deal flow and that had a component to it. Activity picked up in the fourth quarter and remain strong now. I would estimate that 60% to 70% is defense contractors and much of that activity is either in anticipation or contingent on contract awards that continue to flow at a pretty healthy rate out of defense installations around their properties. In terms of the space planning, we really have not seen a material change in the densities for the tenants that we've planned. It's a -- it’s a bit surprising but even the leases that we had executed in April -- March and April, went onto fulfill their interior plan -- their interior buildout as had been planned before the -- the pandemic.
Craig Mailman: Okay. That helpful. Any kind of or how are the dynamics on rents kind of progressing here? Or you know or is it totally is it face rent or is it TIs kind of what's the conversation going like as people come back and want to take space?
Steve Budorick: So but for Downtown DC, economics are stable in all of our markets if not strengthening in some in Alabama where we have a lot of activity right now, in essence each new lease that we execute sets a new kind of high watermark for market rent. Special Business Park Columbia Gateway, very stable. We'll find out soon what the impact is in downtown DC, but I would expect concessions to go up and rates to remain stable.
Craig Mailman: Any of the pickup in Huntsville I know Space Force I think that was the location that they picked for that. Is it just way too early for that to be a demand generator?
Steve Budorick: Yeah, it's way too early, Craig. It's very exciting, but early. Certainly the awards been announced. Other states are contesting the award. It'll be challenged for some time, but there is activity evaluating space requirements down there both short and long term. And you know it could potentially create opportunity with the government. It unquestionably will create opportunity with contractors.
Craig Mailman: And then just one last one, 310 MBP, sounds like you guys are feeling better about that. But with the administration change is there going to be any changes at the top of that -- that tenant organization that will require another review of this space like you guys have kind of had as there's been turnover there that could delay it?
Steve Budorick: I don't expect that to be true. I think it's a matter at a much lower level than the new cabinet positions are going to be evaluated.
Operator: Thank you. Our next question comes from Blaine Heck with Wells Fargo. Your question please.
Blaine Heck: Great, thanks. Good afternoon. I feel like we ask this every quarter a bit just to get an update. Can you talk about the likelihood of you guys expanding your -- your DC Shell program to cater to some other tenants given that’s cloud computing and all that goes with it has become increasingly competitive?
Steve Budorick: So we routinely have exploratory discussions with other tenants, potential tenants. Heretofore the development model or the procurement model isn’t a great alignment with our strategy in that the bulk of those people want to lease fully developed data centers with the landlords bearing all the capital risk, the customer that we've got a great relationship with now it's an ideal model for us because we're putting in a few hundred dollars a square foot and they're taking measurably more capital risk by taking our shell and developing it to a Tier 3 data center. To the extent we had a customer who is interested in a similar program we would -- we would welcome the opportunity.
Blaine Heck: All right. Thanks Steve. That's helpful. And then just one for Anthony, can you just give us a little bit more detail on your equity needs for this year? What and maybe a little bit on a potential size and timing on an expected DC shell JV?
Steve Budorick: Sure. So the data center shell equity that we need is between $200 million and $225 million. We have group of those assets that we have available to us to venture throughout the year as you know some of them have been placed in service for longer than two years which is sort of our benchmark for tax purposes. So our plan is that that would most likely go out in call it even -- and call it third beginning in the second quarter and transactions closing in the second, third and fourth quarters.
Blaine Heck: Got it. All right. Thanks guys.
Operator: Thank you. Our next question comes from Steve Sakwa with Evercore ISI. Your question please.
Steve Sakwa: Thanks. Most of my questions have been asked but can you just remind us what the size of the land bank is to further the data center shell business and are you actively looking for more land out of in Northern Virginia?
Steve Budorick: We have three acres Steve and all of that land is adjacent to current or recently completed developments. We have a notional schedule of when they'll be developed right now the long pole in the tent is getting power with the extreme level of development activity over the last two years both of the power suppliers are strained to get additional critical power to these sites but from a company program and so we've got two to maybe two and a half years of runtime before we needed by more land.
Anthony Mifsud: Sorry just to convert that, that three acres would equate to what kind of developable square footage? it’s a little more -- almost 1.3 million square feet.
Steve Sakwa: Got it. Okay, that's it for now. Thanks.
Operator: Our next question comes from Tom Catherwood with BTIG. Your question please.
Tom Catherwood: Thank you and good afternoon, everyone. Following up actually on Steve's question. One thing that did jump out, it looks like the data center shells you started in the fourth quarter are on land had been in the defense IT bucket. There wasn't a decrease in the data center shell land. Are we reading that right and is there kind of some more potential to repurpose land elsewhere in your portfolio for data center shells?
Steve Budorick: Well you get a cookie Tom that was very good analysis. Yeah those personal land in Fairfax County that we have held for office development in the, some customer specific needs allowed us to make that available to our data center shell tenant and we executed leases on that. I don't think there's much more of that in Northern Virginia.
Tom Catherwood: Got it and then Steve you alluded to the challenges with getting power and at this data center shells and the two that you started in the quarter seem to have longer development timelines than other ones you've done. Is that because of the kind of constraints on getting the power in or these developments a little different from what you've done before?
Steve Budorick: So yes and no. But I pointed out that they're in a different county, they are in Fairfax County, which is notoriously bureaucratic. So, we've got a very long development schedule to allow us sufficient time to get through a  re-zoning and that all the approvals we need to develop the asset. Additionally, we need time to get the critical power as well.
Tom Catherwood: Got it. Understood. And then 
Steve Budorick: To the extent we can accelerate the approvals and the access to power, we will deliver those early.
Tom Catherwood: Got it. Thank you for that Steve. And then, one last one you know Steve you had mentioned the -- the expectations for 1% Defense Department budget increases going forward. One of the things that’s kind of hit the news recently but has been you know overwhelmed by other stories was the cyber hack on government and -- and defense agencies. Given that that was a growing portion of your portfolio, are you seeing a reallocation of either dollars or attention to that space? And you know what is that -- I imagine that could be a you know have some upside for Columbia Gateway and BP. What are you guys seeing so far?
Steve Budorick: I think it's early in that we -- we see impacts of those kinds of exogenous events when contracts flow out of the government agencies into tenants and then we will experience that demand. I would expect significant increases in funding to address the issue, but also that -- that demand would materialize you know maybe another 12 months down the road.
Tom Catherwood: Understood. Thanks, everyone.
Operator: Our next question comes from Jamie Feldman with Bank of America. Your question please?
Jamie Feldman: Great. Thank you. So I guess along with the last -- along with the same lines is the last question you'd mentioned 1% growth in the defense budget expected over the next few years. But if you were to look at the more relevant piece of the budget that tied to your business like defense IT and cyber what do you think the growth rate looks like that for that segment over the next several years?
Steve Budorick: So it's a little early they passed the budget but we don't have access to the documents they may have published the Green Book which allows us to mind that data for more program level changes. Certainly I think cyber will probably grow north of 5% for the next several years if not higher and then other programs I just can't speak to.
Jamie Feldman: You’re saying 5% per year?
Steve Budorick: Yeah.
Jamie Feldman: Okay. And then you’d mentioned for 2022 the two large leases in question are both downtown Baltimore I mean does that and everything else seems like it's doing really well? I mean does that make you rethink at all your Baltimore exposure opportunity to maybe sell those assets and move on?
Steve Budorick: Well we've always considered those assets that we would recycle at the right point in time. One of the reasons we hold on to them is that we wanted to enter the era of growth we talked about our -- in our discussions certainly selling them before we get the renewals established we would be selling. But I would certainly say that those one or two of those assets could be considered for selling in the next 24 months.
Jamie Feldman: Okay. But you don't want to market them -- market them until you figure out these two leases?
Steve Budorick: Well absolutely not. I mean we saw them at the worst possible time.
Jamie Feldman: Okay. And then I know you guys you provide your guidance in terms of cash, cash NOI growth same store growth and leasing spreads. Can you give us a sense of what those look like on a GAAP basis?
Steve Budorick: So our, our leasing spreads on a GAAP basis are between call it 5% to 7% in terms of converting the cash roll downs into -- into GAAP spreads given the increases that we have embedded in those assumed renewals.
Jamie Feldman: Positive 5% to 7%?
Steve Budorick: Yeah.
Jamie Feldman: Okay. And what about same store NOI?
Steve Budorick: Same store NOI is, I had there, but finally, I'll get back to you on that Jamie.
Jamie Feldman: Okay. Thank you. All right I think I'm all set. Thank you.
Operator: Thank you. And our next question comes from Jay Kornreich with the SMBC. Your line is open.
Jay Kornreich: Just looking -- looking at your portfolio as it lends itself more heavily to the D.C. metro area which makes sense considering the business you are in. How do you guys think about stretching beyond that as you entered San Antonio in Huntsville? So what do you -- how do you do that expansion in those markets and potentially other markets as well?
Steve Budorick: Well we try -- we have pursued missions that are knowledge-based not troop or weapons production base. And we have scoured the country for good opportunities periodically for the last decade. I would recommend you give us a phone call where I could go into more detail, but the locations that we serve are places where the missions have very high priority. So they will have high levels of consistent funding and our knowledge base which suggests they need office property in that manufacturing or residential so we're pretty committed to the locations we have.
Jay Kornreich: Okay. I appreciate that high level color and that's it for me. Thank you.
Operator: Thank you. Our next question comes from Dave Rodgers with Baird. Your line is open.
Dave Rodgers: You guys have addressed a lot but two questions. One maybe on you guys consider selling that before any kind of two year hold period or is that still going to be subject to that same thinking just I’m trying to consider when that could potentially build for you if that's the one plan? And then the second question I think Todd mentioned it but maybe Todd and Steve you guys can tackle it, the occupancy loss in 2021 obviously is the lower backfill that that's showing up there. But when you see the lower retention this year is there any sematic to that either geographic component of the portfolio or program that negatively impacted the lower retention?
Steve Budorick: So I’ll take the first one Dave. So when -- in order to create the flexibility to monetize 2,100 out there was a structure has been created for bad asset to be owned within a REIT within our REIT. So we have a structure that will allow us to sell which is not -- which is not a common kind of structure within in the district. So, we have a structure that would allow us to be able to monetize that asset before the 24-month period and so?
Todd Hartman: And then with regard to -- with regard to the renewals, we've built into our assumption some pretty conservative numbers on commercial office kind of contractions during the year and capacity to absorb an early renewal with a contraction if the opportunity is presented specifically regarding those two tenants in downtown Baltimore.
Dave Rodgers: So, those are the 2022 expiration, but there's -- there's just room to absorb on this years…
Steve Budorick: Yeah. We've put some capacity for one or the other and then, when we look at commercial tenants renewing, we've -- we've handicapped some contraction kind of generally or specifically.
Dave Rodgers: Okay. That's helpful. Thanks, everyone.
Operator: Thank you. And our next question is, please forgive me, Omotayo Okusanya with Mizuho. Your line is open.
Omotayo Okusanya: So, a quick question about things to forecast for next year, the occupancy’s guidance of 90% to 92%, you were at 92% for 2020. What could probably kind of get to the lower end of that -- of that range? And even if you were at the higher end, which is the same number you are at in 2020, you still kind of forecast about a flat things of NOI growth. Can you just walk us through that a little bit?
Steve Budorick: So the lower end would be represented by less leasing that has been contemplated in our plan earlier over the year. And you know mind you we've got a pretty manageable revenue at risk number, but to the extent we weren't able to hit that target that will be reflected in fewer square feet at the end of the year and a lower achievement. The higher end is the converse of that, that we generate more leasing than the midpoint of our plan. 
Todd Hartman: The corollary on the same office, cash NOI growth is that the occupancy is a point in time at the end of year. And based on how those leases commence throughout the year and contribute to that cash number is why we end up at the flat at the high end.
Steve Budorick: So the average is probably lower for the two-year versus the actual lower end number.
Operator: Thank you. Our next question comes from Chris Lucas with Capital One Securities. Please go ahead.
Chris Lucas: Hey, guys. Good afternoon. Just a couple of quick ones for me. 2,100-L was placed into service in the fourth quarter. Did that contribute any GAAP revenue in the fourth quarter?
Steve Budorick: It was very small. It was like a week.
Chris Lucas: Okay.
Steve Budorick: …to amendments.
Chris Lucas: Okay. And then that doesn't change I guess the expected cash rent start date for that lease?
Steve Budorick: It does not.
Chris Lucas: Okay. And then Anthony just as it relates to the alternative investment sale that is included in your FFO adjusted alternative investment sale that is included in your FFO adjusted for comparability?
Steve Budorick: It is and we had a small point in…
Operator: Thanks. And our next question is from Jamie Feldman with Bank of America. Your question please?
Jamie Feldman: Hi. Thanks so just -- and a quick follow-up. I just want understand your thought process on saying April 1 for the DC-6 renewal how did you guys choose that date?
Steve Budorick: Fairly randomly now just based on the kind of progress that we've had since the holiday break we’re checking off the open issues with tenants.
Jamie Feldman: Okay. All right and what still needs to get done? Are you able to discuss that?
Steve Budorick: I really don't want to go in any further detail on the points. I think on the last call I conveyed that we have a bundle of -- we address all the issues that we're open with positions we'd be willing to accept and challenge them to narrow the gap and we're making some pretty good progress but ultimately it's got to be good for our shareholders or we want to agree to it.
Operator: Thank you. And I'm not showing any further questions in the queue. I will now turn the call back to Mr. Budorick for his closing remarks.
Steve Budorick: So thank you all for joining our call today. We are in our offices this afternoon. So please coordinate to Stephanie if you’d like a follow-up call. Thank you.
Operator: And thank you for your participation today in the Corporate Office Properties Trust fourth quarter and full year 2020 conference call. This concludes the presentation. You may now disconnect. Good day.